Operator: Greetings and welcome to AudioCodes’ Fourth Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I’d now like to turn the conference over to your host, Elizabeth Parker, Director of Investor Relations at KCSA Strategic Communications. Thank you, you may begin.
Elizabeth Parker: Thank you Melissa. I would like to welcome everyone to the AudioCodes fourth quarter 2016 earnings conference call. Hosting the call today are Shabtai Adlersberg, President and Chief Executive Officer; and Niran Baruch, Vice President Finance, and Chief Financial Officer. Before beginning, we’d like to remind you that the information provided during this call may contain forward-looking statements relating to AudioCodes’ business outlook, future economic performance, product introductions, and plans and objectives related thereto. And statements concerning assumptions made or expectations as to any future event, conditions, performance or other matters are forward-looking statements as the term is defined under U.S. Federal Securities Law. Forward-looking statements are subject to various risks, uncertainties, and other factors that could cause actual results to differ materially from those stated in such statements. These risks, uncertainties and factors include but are not limited to the effects of current global economic conditions and conditions in general and in AudioCodes’ industry and target markets, in particular, shifts in supply and demand, market acceptance of new products and the demand for existing products, the impact of competitive products and pricing on AudioCodes and its customers’ products and markets, timely product and technology developments, upgrade in the ability to manage changes in market conditions as needed, possible need for additional financing, the ability to satisfy covenants in company’s loan agreements, possible disruptions from acquisitions, the ability of AudioCodes to successfully integrate the products and operations from acquired companies into AudioCodes’ business and other factors detailed in AudioCodes’ filings with the SEC, the U.S. Securities and Exchange Commission. AudioCodes assumes no obligation to update information. In addition, during the call, AudioCodes will refer to non-GAAP net income and net income per share. AudioCodes has provided a reconciliation of non-GAAP net income and net income per share to its net income and net income per share according to GAAP in its press release and on its website. Before I turn the call over to management, I would like to remind everyone that this call is being recorded and an archived webcast will be made available on the Investor Relations section of the company’s website at the conclusion of the call. The call will also be archived on our Investor Relations app, which is available for free from the iTunes App Store and the Google Play market. With that said, I would now like to turn the call over to Shabtai Adlersberg. Shabtai, please go ahead.
Shabtai Adlersberg: Thank you, operator. Good morning and good afternoon, everybody. I would like to welcome all to our fourth quarter and full year 2016 conference call. With me this morning is Niran Baruch, Chief Financial Officer and Vice President of Finance for AudioCodes. Niran will start off by presenting a financial overview of the quarter. I will then review the business highlights and summary for the fourth quarter and the full-year 2016. Discuss trends and developments in our industry. And that could be about the outlook for 2017. We will then turn it into the Q&A Session. Niran?
Niran Baruch: Thank you, Shabtai, and hello, everyone. As usual, we will be referring to both GAAP and non-GAAP numbers on the call. The non-GAAP P&L metrics exclude recurring noncash items. Today’s earning press release contains a reconciliation of supplemental non-GAAP financial information. Revenues for the fourth quarter were $37.8 million, up 1.5% from the prior quarter. Full year 2016 revenues totalled $145.6 million, compared to $139.8 million in 2016. During the fourth quarter of 2016, we made sales to Avaya of $645,000 which remained unpaid. On January 19, 2017, Avaya Inc. announced that it had filed a voluntary petition under Chapter 11 of the U.S. Bankruptcy Code. As a result, the revenues related to these sales were included in revenue reported for the fourth quarter. Services revenues for the fourth quarter were $11.4 million, accounting for 30.2% of total revenues. On an annual basis services revenues increased by 14.7% from the previous year. The sales revenues balance as of December 31, 2016 was $31.8 million, compared to $26.3 million as of December 31, 2015. Revenues by geographical region for the quarter were split as follows: North America, 43%; Central and Latin America, 9%; EMEA, 31%; and Asia Pacific, 17%. Our top 15 customers in aggregate represented 59% of revenues in the quarter, of which 49% are attributed to our 11 largest distributors. Gross margin for the quarter was 60.9%, compared to 61% in Q3 2016. Non-GAAP gross margin for the quarter was 61.5%, compared to 61.7% in Q3 2016. Operating income for the quarter was $3.6 million, compared to an operating income of $2 million in Q3 2016. Full-year 2016 operating income was $7.8 million. On a non-GAAP basis quarterly operating income was $2.9 million or 7.7% of revenues, compared to an operating income of $3.1 million in Q3 2016. Full year 2016 non-GAAP operating income was $10.4 million. Net income for the quarter was $13.8 million or $0.44 per share. Full year 2016 net income was $16.2 million, or $0.45 per share. On a non-GAAP basis, quarterly net income was $2.6 million, or $0.08 per share, compared to net income of $2.9 million or $0.08 per share in Q3 2016. Full-year 2016 non-GAAP net income was $9.4 million or $0.26 per share. During the fourth quarter of 2016 we recorded deferred tax asset in the amount of $11.6 million, which represent approximately amount of net operating losses and temporary tax differences that based on our estimation will be utilized over the next years. GAAP net income for the fourth quarter and full year 2016 reflect the effect of the tax benefit associated with the creation of this deferred tax asset. Non-GAAP net income excludes this non-cash deferred tax benefit. Our balance sheet remains strong. At the end of December 2016 cash, cash equivalents and marketable securities totaled $69.5 million. Days sales outstanding as of December 31 were 61 days, compared to 63 days in the prior quarter. Operating cash flow generated during the quarter was $6.7 million and $18.3 million for the full year 2016. During the quarter, we acquired 1.3 million shares for a total consideration of $7.7 million. As of December 31, 2016 and since we began to repurchase our shares in August 2014, we had acquired an aggregate of 12 million shares for an aggregate consideration of approximately $64.2 million. We continue to expect topline revenue growth and operating margin expansion in 2017. We expect revenues in the range of $152 million to $157 million and non-GAAP diluted earnings per share of $0.31 to $0.35. I will now turn the call back over to Shabtai.
Shabtai Adlersberg: Thank you Niran. We are very pleased to report strong financial results and continued business momentum for fourth quarter and the full-year 2016. As reported, fourth quarter revenues and earnings came within the range of our guidance for growth over the previous and the year-ago quarter. Reality though is that we had a better quarter to report until January 19. We ended the fourth quarter with record results with revenues above $38 million though the target and earnings that had beaten the Street consensus of $0.08. As stated on our press release earlier today, on January 19 Avaya filed a voluntary petition under Chapter 11 of the U.S. Bankruptcy Code and about $650,000 of revenues related to Avaya as customers were moved to deferred revenues. That belongs to the past looking at we have good reason to believe that business with Avaya will continue on the yields of the first nine months of 2016 and we understand that their business is profitable and thus we assume the business will continue going forward except for may be a slight decline in revenues. So on a bigger picture level we continue the past two years momentum of turning the boat and steering the company into sustained annual revenue and earnings growth. Now this the direct result of successful execution or strategic initiative for the past five years of growing the UC-SIP business in areas relatively Unified Communications, contact centers and SIP trunking, all of which keep expanding on a multi-year basis. Growth in these areas has picked up recently as a result of the growing pace of transition to All-IP networks. This acceleration is clearly evident in revenues related to the North American market where we experience good growth in 2016, compared to previous years. The U.S. is leading the All-IP migration and AT&T and Verizon are leading that front. But we already see similar such trend in West Europe and it is obvious that the rest of the world will follow this trend between now and 2025 and so the grounds for continued growth in coming years are there. Getting back to fourth quarter developments we enjoyed growth across most business line most notably in the UC-SIP area where revenues continue to grow more than 20% year-over-year. Just to highlight that the UC-SIP business which is relatively young business, that business delivered about $9 million of revenue in 2012, grew to about $47 million in 2015, $58 million in 2016. And now we believe that we will get to the $100 million mark in 2019, growing at a rate of around 20% a year give or take. In many ways this evolution should be perceived as reinventing the Company since 2009, when our previous business of technology – that was centered around technology and gateways started to decline. Key to this success is a solution approach we took several years ago, which allows us to provide higher value to the end customers when compared to competition which provide solution and products on a best-of-breed product approach. Another pleasant surprise in the fourth quarter was the strength of the gateway business which grew 7% above the previous quarter. In fact, the gateway revenues increased in second half 2016 about 10% above the first half of 2016. Entering into the first quarter of 2017 we see preliminary, similar such trends. As mentioned, on our previous call this better result should be mainly attributed to the increasing trend of migration to All-IP. This trend is evident in the U.S. and West Europe and owning the right portfolio of product and services will benefit us in the next five to ten years. We also saw increased pace of RSPs and proof-of-concept trials by service providers in North America and Europe to start migrating their voices’ to offset UC, SIP trunking, a trend that will further facilitate growth in coming years. In the fourth quarter of 2016, UC-SIP and gateways combined revenues comprised above 90% of the business. And thus decline of the legacy technology business is now fairly contained and cannot impact early our quarterly revenues going forward. All this leads us to believe that we have strong foundation for growth and confidence in strong and healthy business in coming years. Now to some of the business highlights of 2016, as mentioned, UC-SIP growing to above $55 million, 20% over previous year. We mentioned that we are confident in our ability to grow that business to $100 million in three years. Gateway business will recover, we discussed that. 2016 annual decline really moderated to less than 10%, we now believe that that performance should be sustaining in coming years due to the All-IP Migration. We will remain focused on growing and positioning AudioCodes to become the leader in Enterprise Voice market. In that market is our three key pillars, we’re talking about Unified Communications, we’re talking about advanced IP-based contact centers and we’re talking about voice infrastructure that now is moving towards an All-IP. AudioCodes is building itself to become the leader in that market and we believe that we are in a very unique position and see competition surely we can hold them with what we have developed so far. We continue to invest in collaborating with our key partners, namely, Microsoft, Genesys and Broadsoft and saw a meaningful return on this investment. We emerged a very successful vendor of CPE gear to our partners. We believe that currently we are one of the leaders if not the leader in that category. We have substantially increased our penetration into the Service Provider market. In 2016 we had lot of success in the EMEA market in that area. We are at the same time going Cloud, transition to the Cloud era we made important steps in evolving our business to the Cloud era with growing capabilities in the areas of virtualized SBC and Skype for Business online. Finally, we continue to buy back our shares in the fourth quarter. We continue to buy shares in the fourth quarter of 2016 with the aim of increasing return to our shareholders. Just to make a note, that buy back in the fourth quarter was done in a much higher price level about $6 versus the previous range of $4.3 that tells you our confidence in our operations and the sense of making that buyback. Now touching on some of other significant data points relating to the full year 2016, all of which are non-GAAP numbers. So I’ll go over the short list. Services revenue grew 14.6% over the previous year to $43.3 million, that comprises now 30% of the company revenue that is growing for us above 10%, 10% to 15% on a multi-year basis for five, six years already. Gross margin improved to 61.5% from 60% in 2015. We are growing steadily here on an annual basis from 58% in 2015. Why? Simply because we deliver more services, we are migrating our solution to be more software-based that will result in growing gross margins. Operating income grew nicely in 2016 to 7.2% from 4.5% in 2015, or [indiscernible] goal is to achieve 10% in 2017 for the last quarter of that year. Net income increased to $9.4 million in 2016, about 60% increase, compared to 2015. Operating cash flow was strong for the second year in a row. We generated $6.7 million in the fourth quarter we generated $18.3 million in 2016, back on the yields of 2015 when we generated $17.6 million. Headcount grew to 700 employees from 640 employees a year ago. The increase was fairly build up about 50% in R&D personal, 50% in customer facing activities, marketing, sales, customer care. The good news is that we believe that the R&D budget for coming years is pretty much contain and we do not see major increase in R&D and product expenses in coming years. Most of the increase in budget will be done in sales and marketing that should increase modestly in 2017. We believe that we will tie up those expenses to growing sales, so we believe that our ability to control the P&L is getting better. Now I’ll touch two new areas that we have not reported so far, but intend to start reporting steadily on an annual basis. First is deferred revenues. Deferred revenues at the end of 2016 rose to $31.8 million, now that is 12.9% growth over $26.3 million at the end of 2015. In fact, growing deferred revenues tells you that side by side with reported revenues we have – we are building for our self a strong and very helpful cushion for revenues in coming years. The second area that I would like to touch for the first time is our activity in the applications area. In the applications area we do have internal activity, you may call that internal startups. Those are located in three key areas, one is compliance recording prescribed for business, we call that activity SmartTAP. The second one is our Mobility solutions called MobilityPLUS. And the third our voice recognition, voice dialing and routing, which we code name VocaNOM. In 2016, revenues in these application areas and others were above $3 million. We intend to grow them above 30% in 2017 and get close to the $4.5 million or $5 million range. We have much belief in growth in these areas. Those are software products they will tie in into our solution story. So we believe that we have a great customer base to turn to with this new application in order to grow revenues. Looking on the sales side most regions performed very well, we saw nice growth in North America, both the Enterprise, which was very strong in the fourth quarter, actually growing above 10% in service provider segment. We attribute that – again as I’ve mentioned before the Skype for Business and the all-IP activity. We saw similar, better trends in EMEA, where activity has picked up substantially more in the western region. APAC cap performing, APAC is the region that has proved the mass in 2016 on in all above 13%. Now touching on two key business lines and providing some color in it, I’ll talk about the market of Skype for Business activity. In 2016 we grew above 20% compared to the previous year. All-in-all, we got to a level of about $45 million. That’s almost one third of the company revenues. Microsoft continue to push for Cloud PBX in 2016 with Cloud Connector Edition for hybrid voice and we’ve been – I’m glad to know that we have been the first partner to sign a license distribution with Microsoft on the CC. 2016 was also the strongest year for us in terms of selling IP phones for Skype for Business. I’ll talk about phones in a minute, but I’ll tell you that IP phones prove dramatically we have had more certifications we now consider our self to be a very fast growing vendor in the Skype for Business active phone area. All in all, we are very pleased with the activity we are perceived as market leader, we’re being approached by enterprise customers, by service provider customers and we do anticipate continued growth of at least 20%. From some signs that we have seen at the end of 2016, I’ll note that we have been – we have seen increased activity around Cloud Connector Edition that is the ment to help Cloud PBX grow. I’ll tell that simply because I think that we went through some long 12, 18 months of inability to growing this market, we do believe and we see a lot of push in the market that by mid-2017 or end of 2017 the latest as Cloud PBX will become very strong in the market. We intend to become a very strong player in that market. So we believe that at the end of the day starting from the beginning of 2018 and on we will see very strong activity and revenues coming from that market. On Session Border Controls, we have seen the best quarter ever in the first quarter. Revenues went up above 30%, compared to the year ago. All-in-all we are growing in software solutions, in service solutions, in large enterprises, in managed enterprises we see an access in core. We are going to launch based on few design wins that we had with large enterprises. We’re going to launch through Enterprise Connect, a very ambitious firm on modernization of the voice network in enterprises. Be believe we’ve got a good portfolio and services that will support good market share in that market. We have been very successful at deploying global SIP tracking with several world leading service providers. So all-in-all we’re very encouraged about the Session Border Controls activity. I’ll mention last, on the business line, the IP phone area we grew very nice about 50% in 2016 to about $10 million. We have seen very strong growth on the Skype for Business segment and we already crossed hundreds of thousands of units in 2016. We expect similar such growth in 2017, growing above 50%, going forward. Finally, I will get to our guidance and outlook for 2017 and the next three years. Regarding revenues we now guide for the range of 150 to 157, a 6% to 7% growth that takes into account growth of 20% on UC-SIP and decline of 8% to 10% gateways. We’ve been conservative here, we may see lower decline on gateways, but at this stage this is the guidance we will be giving. We expect that over the next three years we will grow around 25% to reach a level of $180 million in 2019 based on organic growth. Regarding earnings, we expect better performance, we expect to grow earnings per share about 25% in 2017 and believe we can more than double earnings per share compared to 2016 in the course of the next three years. The better expected performance on earnings relies on leverage we have in our financial model. This is related to the fact that the majority of the increase in investment required in R&D and the product front have been made and so additional OpEx in coming years will be made in proportion to growth in sales. Lastly on the buyback, as reported we purchased 1.26 million shares in the fourth quarter, spending $7.7 million and continuing the buyback in the first quarter of 2017. As we intend as we complete the current program to evaluate and further offset on such glance. With that I’ve completed my initial presentation and I’ll turn the session to Q&A. Thank you. Operator?
Operator: Thank you. At this time we will be conduction a question-and-answer session. [Operator Instructions] Our first question comes from the line of Rich Valera with Needham & Company. Please proceed with your question.
Rich Valera: Thank you. Good morning Shabtai. Why don’t just talk about Avaya, it sounds like you’re pretty optimistic about business with them picking up as you move into 2017 here. Can you say what you’ve actually heard from them and do you have actually started paying their vendors at this point or do you believe that’s going to happen shortly? Just wanted to get more color there? Thank you.
Shabtai Adlersberg: Sure, we cannot talk but I can tell you that we have been talking to them. We received sign from them and I think you have seen them also in the price. So a letter that was presented in the press that Avaya is really if you go to their website and look upon their financial results for the end of September 2016, you’ll see that they are in good shape selling and profitable. I think they are at least from what we heard they intent to continue on with business. And I think they would probably look to further their relationship with their vendors. So except for changes in the market I think we will see continued relationship and that is based on communication that took place already.
Rich Valera: Got it. And then just wanting a little more color on Microsoft’s Cloud PBX, you singed a pretty optimistic that that business – their business would accelerate in that area. It sounds like mid this year may be into 2018. Just wanted to remind us sort of what you sell into Microsoft’s Cloud PBX and then could you guys provide a little color on what makes you think that’s going to kind of accelerate as we move into the second half of this year? Thanks.
Niran Baruch: Right, so currently we have two key products sold into that market. We have the CloudBond 365 which is started to selling almost two years ago that has grown but this isn’t staged when Microsoft announced the CCE, the Cloud Connect Edition. I think that was February 2016 we’ve seen Microsoft putting more emphasis going forward on that. And we have reacted accordingly, we have completely fairly fast we invested in completed all developments necessary to come up with a Cloud Connect Edition appliance. I can tell you that we started to sell the appliance in the third quarter, revenues and sales in the fourth quarter substantially increased, we see increased pace already in the first month. So the – and I know for a fact that certain meaningful incentives that are being put to the market to help push Cloud PBX. And we’ve seen – and we’ve seen demand and some lead that tell us that there’s very strong interest in the market in Cloud PBX and how soon – and we have sold this, I told you quite a large number of appliances that will be help connect initial adopters to the Cloud PBX service. And we know that Microsoft appliance by mid-2017 to try and fill in all of the gap that they’ve currently between the server edition and the online edition. So all in all, we see increased activity from customers, we see increased sales of appliances on our side and we see less demand and push from Microsoft. So that gives us that tells us that’s – the environment is improving and it’s growing going forward.
Rich Valera: Got it. And you expect your primary – to primarily benefit from the sales of your Cloud Connect appliance into that market, is that correct going forward?
Niran Baruch: Well, Microsoft has key interest in pushing Cloud Connect Edition and we follow their plans. So yes, we are working closely trying to help them enough to get faster market.
Rich Valera: Great. And one more from me just with the EPS guidance, you’ve given, can you say if there’s any more stock buyback embedded in that guidance or is that assume the flat share count?
Niran Baruch: No, actually current production assumes completing the current plan by the end of the first quarter of 2017 and assumes no other buyback. That is necessary that once we completed, we will look into the situation and we will make an assessment, it doesn’t say that we do not plan but we simply will make a decision only once we completed and we have better understanding of what we needs to be done going forward.
Rich Valera: Got it. And do you have convenient, how much is left on that plan?
Niran Baruch: Yes, so we announced that we purchased about $1.2 million, $1.25 million in first quarter, we continued the same pace in the first quarter. So in January I think we purchased between $550,000 to $600,000 and I believe that similar amount is last for the end of the quarter but we all need to assume that there are certain price pressures there, so about out of – about $2.5 million that could be purchased up to now we have purchased close to 1.9, so we’re very close to completing the forum.
Rich Valera: Very good, thanks very much, Shabtai.
Shabtai Adlersberg: Sure, you’re most welcome.
Operator: Thank you. Our next question comes from the line of Dmitry Netis with William Blair. Please proceed with your question.
Dmitry Netis: Okay, thank you very much. Shabtai, I want to follow up the Rich’s question on Avaya. I know there may not be a lot you can talk about, but if I do the math, this quarter represented – Avaya represented roughly actually less than 2% of your revenue. I wonder if that is the going rate or that’s what you have seen in the past in terms of Avaya revenue or this abnormality. Give me a comment on that. And how much potentially Avaya would be baked in into the 2017 guidance or have you not baked that into 2017 guidance, so I am just wondering if you could comment on that.
Shabtai Adlersberg: So, as you have mentioned at this stage fourth quarter was around $650,000 that was a normal quarter, so you can build from that some assumption as to the level of sales in 2016. We have no reason to believe that that will declining in abrupt way in 2017, so it will be a business that continues. We do know that Avaya and that is what they have stated. We will try to continue growth on the Chapter 11 and turning the company to be much more software and services based. We have a good track record with other companies who have got a software and services business. So I do not preclude that assuming Avaya continues to function as a company that we will either continuing or even gain more business there. So all is up and I don’t think fourth quarter is “bad news”, but I think that is a one-time thing and we have no reason to see abrupt changes going forward.
Dmitry Netis: Yes, well, the thing is the – they may continue to operate in a normal environment they thing they are in. The problem is that their destiny is in the hands of the courts and nobody knows what really will happen whether the company gets played or sold or continue as a going concern.
Shabtai Adlersberg: Right.
Dmitry Netis: In that vein do you assume a revenue for 2017 from Avaya or did you really take a hard look and said hey maybe we shouldn’t be putting that revenue guidance from? I am just trying to ask ascertain how conservative you are in this Avaya’s revenue in that 2017 guide?
Shabtai Adlersberg: So, yes, I mean…
Dmitry Netis: Just, I mean, in a different way…
Shabtai Adlersberg: Again, the tolerance on our changing potential in the business in 2017 given the numbers we discussed could be about a million or a million and a half give or take that is a level when we’re talking about 150 somewhat that is a level that we should be able to either compensate for – from other customers and activity. So we have not paid any attention to that. We don’t think that is that material in terms of planning.
Dmitry Netis: Okay, that’s helpful. And then if I look at the guide for Q1, are we expecting services revenue to continue to grow. And on a kind of seasonal basis, I think, you have shown growth in services for, I could see, seven consecutive quarters now. So should that trend continue or should we baking some seasonality there in Q1 and should product be kind of in that seasonal trend in Q1 as well as we have seen in the last few years?
Shabtai Adlersberg: Right, so usually we do not. In terms of planning or guidance, we have never made a split differentiated between product and services. As a whole, we normally have – we have guided usually for relative weakness in the first quarter of the year compared to the fourth quarter in the range of 2% to 3% that might be the case or may not, but I think we should plan for around the same level of Q4 give or take a percent or two, but that’s roughly it should be kind of a flat or a little down a quarter…
Dmitry Netis: Okay, great, helpful, very helpful. And then, I guess, my last question would be just looking at the business, I mean, you have done a good job on gross margin side of the things that’s a 61.5% exiting the year, so pretty good expansion there. Your Session Border Controllers presumed higher margin product is growing, services are growing. Just I guess supposedly wanted to touch on the competitive environment as a result of your margin improvement. Is that something you are seeing that’s easing out there in terms of competition, you know, are they’re getting less aggressive from kind of the key members of the – as we see pack or gateways pack, you know, the Oracle, Sonus came into the world. You could discuss that competitive. I mean, enterprise business again you notice North America was also pretty decent growth there over 10%. So just in Broadvox as if you could discuss the competitive environment, I guess, that would be great. Thanks.
Shabtai Adlersberg: Right, thanks. Yeah, I’ll try to touch it briefly and I will divide that based on business areas. Session Border Controllers, we feel we are becoming more competitive relatively on Session Border Controllers mainly in the enterprise space. The solution approach are our ability to provide a solution that comprises combination of Session Border Controllers and routing, session routing engines and few more elements allows us to be much more effective on the enterprise. We also – I should say that we have been able to hire some, some strong people in the sales area that once work with other companies. So we feel we are growing key activities these days in the U.S. and Germany, but we do see more Western Europe countries and other places. So we believe that what we call international market will try to become the best player on as this is. Same for phones, we believe we have invested a lot in 2016 in adding resources and coming up with development and certification that will allow us to sell better in the phone area. And I will just mention that I haven’t touched at it, but you all know that Genesys that’s now became probably one of the largest, if not the largest contact center players has initiated a commercialization program in 2016 whereby they will aim all of our products, all of our gateways as this is IT phone scenarios are sold by Genesys. So, we have – you may call it “excessive Genesys environment”. So we are picking up on phones. We definitely see Polycom as a strongest player, but we feel that we can continue to climb up the yield. That strategy – we relatively feel fairly good in the Skype for Business. I think we’re competing mainly with Sonus and we feel we are in good shape there. So all in all I think competitive wise we are in good shape.
Dmitry Netis: I guess a quick follow up, my apologize for Microsoft Skype for Business that grows 20% year-over-year to $45 million. Do you – I think in the past you have said the business will grow 25-ish percent. Would you expect it to continue to grow at that rate in 2017?
Shabtai Adlersberg: My expectation is that we will not see huge difference in 2017, but I believe that as Cloud PBX gets in a full way to market that from beginning of 2019 we will definitely see higher growth. I think that the Cloud PBX has got great potential of substantially improving our growth rates from 2019 and going forward.
Dmitry Netis: Okay, great, thank you very much.
Shabtai Adlersberg: Sure.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Mike Latimore with Northland Capital Markets. Please proceed with your question.
Mike Latimore: Hi, great, thanks. Just on the Skype for Business topic one more time, I guess when you talk about your CCE Appliance; I believe that’s a hybrid deployment implied there. I guess is your view that the growth that you will see will be from sort of the hybrid deployment over time?
Shabtai Adlersberg: Hi, Mike. No, not really. CCE Cloud Connect Edition is meant for pure Cloud deployment. It simply allows the business on one end to connect to Cloud PBX in the cloud and then do is PSTN Migration [ph] using the service providers is used to work with. But that has got nothing to do with hybrid, the hybrids implementation we have today is CloudBond 365. And I know that our plans of Microsoft to offer a similar search capability in less than a year from today.
Mike Latimore: Got it. So, I know you just said that you think Skype for Business were roughly – you’ll see kind of flat in 2017, but tick up back to normal growth rates in 2018 or something like that. Is that way to think about it?
Shabtai Adlersberg: For us, yes.
Mike Latimore: Yes, okay, got it. And so most of the growth in Skype over time will be coming from the pure Cloud deployments or from hybrid I guess for AudioCodes?
Shabtai Adlersberg: So, I think well initially the start was that businesses will adopt pure Cloud operation faster, I think now realization is that a lot of the businesses will probably choose a hybrid approach. So CCE will probably evolve to support not only pure Cloud environment, but also hybrid ones. So that’s going to happen.
Mike Latimore: Yes, so that is a majority of your revenue would be tied that to hybrid over time.
Shabtai Adlersberg: Yes, because that would be probably the mostly used configuration I would assume.
Mike Latimore: Well, that’s good. And then just on the tax rate, what should we think about in terms of cash tax rate or cash tax payments in fiscal 2017 and in fiscal 2018 as you kind of have a general ideas right here?
Niran Baruch: Hi, this is Niran. With regards to the tax expenses in 2017, you can assume the same level as you in see 2016 at the non-GAAP P&L range.
Mike Latimore: Right. I mean any reason that that would go up materially in 2018 or not at this point?
Shabtai Adlersberg: Also at 2018 you can assume the same level. I remind you that we have NOLs, net operating losses, both in Israel and in the U.S., which we have the majority operation there. And that will allow us to remain at the same level of 2016 and 2017.
Mike Latimore: Okay. And just last on foreign exchange rates changes, any notable impact on the fourth quarter revenue or earnings year-over-year?
Shabtai Adlersberg: With regard to the foreign exchange, we actually already hedged major part of 2017 exposures, so we already took it into account in our guidance.
Mike Latimore: Okay, great. Thanks a lot.
Operator: Thank you. Ladies and gentlemen, we have come to the end of our time allowed for questions. I’ll now turn the floor back to Mr. Adlersberg for any final remarks.
Shabtai Adlersberg: Thank you, operator. I would like to thank everyone, who attended our conference call today. Relying some good business momentum and execution on our plans in 2016, we believe we are on track to achieving 2017 another year of growth and progress, and continue to build a growing profitable business for coming years. We look forward to your participation in our next quarterly conference call. Thank you very much and have a good day.